Operator: Good day, and welcome to the Alexandria Real Estate Equities Second Quarter 2017 Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Paula Schwartz. Please go ahead.
Paula Schwartz: Thank you and good afternoon. This conference call contains forward-looking statements within the meaning of the federal securities laws. The company’s actual results might differ materially from those projected in the forward-looking statements. Additional information concerning factors that could cause actual results to differ materially from those in the forward-looking statements is contained in the company’s periodic reports filed with the Securities and Exchange Commission. I now would like to turn the call over to Joel Marcus. Please go ahead, sir..
Joel Marcus: Thank you, Paula, and welcome everybody to the second quarter earnings call. With me today are Dean Shigenaga; Steve Richardson; Peter Moglia; Dan Ryan; and Tom Andrews. I want to first of all congratulate the entire Alexandria family on a truly excellently executed second quarter against a backdrop of continuing economic growth. We’ve been fortunate to have continuing strong demand in our key cluster markets with very limited supply, continued help and growth of our tenant base, continued strong leasing activity with solid rent spreads. And I guess, this quarter the prize goes to San Diego for 34% of the rentable square foot lease, Greater Boston at 32%, San Francisco at 18%. We also had continued very strong same-store growth come in on a number of these items in a moment or two, continued strong rental rate increases in occupancy, continued strong operating margins and continuing strong and flexible balance sheet. On the macro side, the biotechnology sector has outperformed the broader markets and now sentiment has moved closer to sector fundamentals and help generally buy an industry-friendly draft executive orders, legislation and political appointments. Venture funding for life science companies remained strong and stable and 2017 is on pace to meet or exceed the historic funding levels of 2015 and 2016. The FDA has approved 27 new therapeutics, both chemical and biological entities so far in 2017, exceeding 2016 and on pace for potentially a five-year approval average of 35 to 40. The new FDA Commissioner, Scott Gottlieb has announced a number of initiatives that help improve the FDA and encourage and support innovation. And with the attention turning to tax reform, biopharma could benefit from cash repatriation and reduce corporate taxes freeing up additional capital to invest the top nine-based – U.S.-based biopharma companies have over $130 billion in cash overseas, so quite a significant cash store. When it comes to healthcare, it’s pretty fair to say that innovation, primarily technology innovation will ultimately be the big disrupter of the healthcare system. The economics, the healthcare will be the challenge of our time for many years to come and there are no simple and clear solutions. There’s a great deal of need for payment reform for continuing to fund in innovation and for healthcare to be dealt with on a more regular basis rather than every seven or eight years. The therapies and drugs in general are not the burden, there’s only been a 3.8% increase over the last number of years and only about 14% of total costs, it’s patient access to drugs being the critical issue and bill bags, meaning co-pays or deductibles. 30% of the price of therapies now go to middlemen who don’t create any value, primarily the pharmacy benefit managers. A comment or two about the ACA. You hear about it all the time. But interestingly enough, the exchanges only affect about 4% of the U.S. population, about 10.3 million people separately Medicaid expansion included about another 11 million. The industry is – has a number of different interactions with the ACA. I think it’s fair to say that, insurance has turned into a utility on the exchanges and many insurance companies have really dropped out the marketplace or the exchanges truly are broken and that will be the challenge. For now, the ACA, which was passed in the long 2010 provides insurance, as I said, to have between 11 million and 12 million people and will also keep in place Medicare expansion, I’m sorry, Medicaid expansion coverage in 31 states, including the District of Columbia. Right now, there are 40 counties on federal exchanges, which have no insurers. And next year, over 1,300 counties are projected to have either a single insurer or no insurers. Nearly 3 million people may have only one insurer and companies like Athena, Anthem, Signal, Humana have pulled out of many of the exchanges. Americas total Medicare – medical cost hit a record $3.4 trillion, 18% of GDP. But it’s fair to say that, 5% of the population accounts for 50% of total medical cost, we call them, kind of super utilizers. And it’s basically treatment in the end of life span or medical costs created by bad behaviors, the ones I mentioned in the number of quarters ago, including bad dietary habits, smoking, drinking, drugs, lack of sleep. So with that, let’s move it to some comments on external growth. As you see from the press release and supplement, we’re on track to deliver in the second-half fully leased of projects at 100 Binney, 510 Townsend and then 505 Brannan all had very solid yields, and we’re now focused on pre-leasing at 399 Binney, 279 East Grand Avenue, and 5 Lab Drive. With that, let me turn it over to Dean for some detailed comments.
Dean Shigenaga: All right. Thanks, Joel. Dean Shigenaga here. Good afternoon, everybody. We’re very pleased with our continued strong execution and delivery of strong earnings growth by our entire team, and importantly, by our senior leaders that are now approaching 17 to 20 years with Alexandria. We’re in a great position today and remain on track to deliver 9.3% growth in FFO per share in 2017. I would like to briefly highlight one important topic before covering four other key topics. We have over many years now realized significant gains from our equity investments, primarily in life science and technology-related entities. We have also established important industry relationships through these investments. The depth of our life science technology and real estate industry relationship has and will continue to provide our team with important leasing and real estate opportunities. While we have done very well in our investments, we’re required to recognize impairments when appropriate. In the second quarter, we recognized $4.5 million in impairments on our non-real estate investments, about 1.5 of this related to a publicly traded investment in a biopharmaceutical company focused on liver disease. The other half of the impairment related to an investment in a privately held life science entity. Keep in mind both entities are still in business and continue to execute their business strategy. We remain in an excellent position in four key areas that I’ll highlight today. First, we have continued solid internal growth. Second, we have strong and disciplined external growth. Importantly, we’re in a unique position within the REIT sector with the third and very strong attribute, solid real estate in life science industry fundamentals. Fourth, we have a very strong balance sheet today, which will continue to improve and we will remain focused on our disciplined approach in our allocation of capital to drive growth into the future. Leasing volume was very solid at $1.1 million square feet this quarter and rental rate growth was strong and up at 23.2% and 9.4% on a cash basis. Year-to-date, we executed $2.4 million rentable square feet of leasing, of which 56% represented early lease renewals on lease expirations in 2018, 2019 and 2020. Fundamentals in our submarkets remain solid, which translates to a landlord favorable environment and minimize rent concessions and tenant improvement allowances. Our great asset management team combined with our unique triple net lease structure drove very strong EBITDA margins of 68% for the second quarter. High occupancy of 95% over the last 10 years combined with operating performance, I just mentioned, has driven continued strength of same property performance at 2.2% and 6.2% on a cash basis for the first-half of 2017. We’ll remain on track for solid 2017 same property NOI growth of 2% to 4% and 5.5% to 7.5% on a cash basis. We’re pleased with the consistency and level of our cash same property NOI growth that is as it is amongst the strongest in the industry. We’re on track to deliver on the commencement of another $100 million of incremental net operating income in 2017, 75% of this will be recognized in 2017 and the remainder will benefit NOI growth in 2018, oops, 25% of that will be recognized in 2017, 75% of that will benefit NOI growth in 2018. New Class A buildings that are targeted for delivery in 2017 are on average, 85% leased. Our cash returns on our total investment are very solid at about 7% for projects targeted for delivery in 2017, 2018 and 2019, with individual projects above and below this average. As Joel mentioned, our team made great progress on five tenant prospects of our development side at 100 Binney Street in Cambridge, and we anticipate being fully resolved on leasing on this projects in the third quarter. As mentioned on our call last quarter, $40 million of contractual rents commenced on April 1, related to recently completed development and redevelopment projects. As of June 30, we have another $55 million of contractual rent commencements spread relatively evenly over the next five quarters through the third quarter of 2018, again, solely from recently completed development and redevelopment projects. Our acquisitions to-date in 2017 have been primarily focused on disciplined allocation of capital to urban innovation cluster submarkets that will drive growth through selective development of Class A buildings. As a reminder for modeling purposes, these acquisitions generally provide enough of a benefit close to 4% in the intermediate term, or in the immediate term, I should say, representing the weighted average interest rate required for capitalization of interest. Peter Moglia, along with our highly experienced team remain very disciplined in the underwriting of acquisitions and selective final decision to proceed with an acquisition. We are one of the few REITs in the – in a great position to describe solid internal growth; solid external growth; and importantly, continued solid real estate and life science fundamentals. Our submarkets across the country continue to have limited supply of Class A space generally also characterized by a limited ability for developers to bring new supply of Class A space over the next couple of years and continued demand for our Class A buildings. Life science fundamentals also remain solid. We are pleased to report one of the top tenant rosters in the REIT industry with 51% of our annual rental revenue in effect as of June 30, from investment-grade rated tenants. Additionally, the weighted average remaining term of our top 20 tenants was 9.7 years, excluding the long-term ground lease with Uber. The quality and stability of our cash flow is a truly unique within the REIT industry. Our balance sheet is in an excellent position today and will continue to improve. We remain on track to achieve our leverage goals of 5.3 times to 5.8 times, both on a net debt and net debt plus preferred to adjusted EBITDA. Our fixed charge coverage ratio is strong and north of 4 times and we continue to maintain significant liquidity at $1.8 billion. Our goal remains focused on continuing to improve our long-term cost of capital to support our strategic goals. Our capital allocation strategy will remain disciplined and will focus on adding significant value through selective high-quality development and redevelopment projects at solid returns on our total investment. Our goal is to be in a position to decide project by project to meet the demand of some of the most innovative entities in the world. During the second quarter, we issued 2.1 million shares through our – at the market common stock offering program at about $119 per share. This was a very efficient capital that will fund significant value creation opportunities through the development of new Class A buildings. Our current ATM program has been completed and we expect to file a new program soon. We still have 4.8 million shares under our forward equity offering from March of 2017 that we will settle over the next two quarters. Our equity capital for 2017 will be spread relatively evenly over the year with slightly higher amounts in the second-half of 2017 versus the first-half of 2017. The equity capital that we are solving for in the remainder of the year is approximately $230 million, including some proceeds from the sales of non-core assets. As a reminder, this assumption along with our usual detailed assumptions included in our guidance for 2017 is disclosed on page five of our supplemental package. In closing, we thank our team for their continued and strong execution quarter-to-quarter. Each of us are excited about the tremendous pace of innovation today and it’s an honor and privilege for each of us to be an important partners to some of the world’s most innovative entities. With that, I’ll turn it back to Joel.
Joel Marcus: Thank you, operator. Let’s go to Q&A please.
Operator: All right. We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Sheila McGrath with Evercore. Please go ahead.
Sheila McGrath: Oh, yes, good afternoon. Joel, I was wondering if you could give us a little more detail or insight on the recent development site acquisition in the Greater Stanford market? Does that require additional entitlements and what are your thoughts on timing?
Joel Marcus: Yes, let me ask Steve to comment on that.
Stephen Richardson: Sheila, hi, it’s Steve.
Sheila McGrath: Hey, Steve.
Stephen Richardson: We’ve got – hey, we’ve two parcels there. One of them is fully entitled, ready to go 500,000 square feet, the other adjacent parcel represents another 500,000 square feet, and we’re estimating it will take about a year for entitlements. And we’re just very excited to be in this cluster. As you know, we dive very deep into these core clusters. We’re tracking just a 1.9% vacancy rate right now there in the lab side, just about 8% on the tech side, very strong demand with about 3 million square feet of lab demand, 3.3 million square feet of tech demand, recent transactions both by lab companies, such as Grail, taking another 47,000 square feet, Amazon’s leased 200,000-plus square feet, as well as Facebook another 200,000 square feet, and very constrained supply with no availability of lab space at all in the near future and really just one other project. So when we put all of of those together, we think we’ve got a really unique offering, where we can provide Class A product in really an urban-type setting at scale, which is again very unique.
Sheila McGrath: Okay, great. And as a follow-up, just you did put out a press release during the quarter on increased focus in the Research Triangle market. I was wondering if you could talk about that opportunity there? And are development yields expected to be higher than the 7%, given land costs are lower?
Dean Shigenaga: Yes, Sheila, the press release we issued on July 5th talked about the site on Cornwall, as we’ve now renamed that five laboratory way, I guess, and it’s made up about 70% lab and about 30% greenhouse. We’ve got – right now we’re both marketing and trading paper and proposals with a sizable amount of quite a number of entities that could, in fact, fill the whole thing, obviously, too early to tell, but we’re very optimistic. We think yields are pretty strong in that market. But remember, although, land costs are lower, rents are lower. But we do think, as the press release mentioned, there really is nowhere in the country that has become a hub for the second part of human health disease you’re well focused on in our core clusters. But the issue of food and hunger, we really haven’t dealt with in any market in a constructive way. And so we’ve felt based on what we’ve seen over the last five years, we try to be trend makers rather than trend seekers. And our work over the last five years has indicated that the Research Triangle Park region will be the kind of the center of the universe for AgTech and new innovation in ag, because feeding and increasing population is going to be really tough.
Peter Moglia: Yes. Hey, Sheila, it’s Peter Moglia. I can tell you one of the things that was really appealing with this transaction was that, we were able to buy an improved campus. So we’ve got a lot of infrastructure that was already there. Our investment will be in a more reconfigure it and modernize it, and I think our basis is roughly around $50 a foot going into it. So it gives us an allowance to really create a great place for the AgTech industry to center around in that area and allow us to make returns that should exceed our 7% goals.
Joel Marcus: Yes, and as we said, we own and operate about 1 million square feet in that market today and have about another 1 million square feet for future development, we’re about 98% leased and we have a pretty nice roster of both life science, but particularly agricultural technology kind of companies. So…
Sheila McGrath: Okay, great. Thank you.
Joel Marcus: Thank you.
Operator: The next question comes from Manny Korchman with Citi. Please go ahead.
Emmanuel Korchman: Good afternoon. Just wondering what sort of the increase in potential development or growth in the pipeline, how you’re thinking about speculative development if you have any sort of pre-leasing goals in mind before going ground up on any of these projects?
Joel Marcus: Yes. So we haven’t done any speculative development since the financial crisis. Our view of the world is so far we don’t really need to do that. We are working in a number of locations to prepare sites and the foundation work and so forth. But in hopefully, all cases, we want to have a level of pre-leasing before we go vertical. We did that in New York with the West Tower, I think, there we only had 15%. But that was important, because we had a time, where costs were very favorable to the developer and we had a chance to snag gross. So I think it’s so dependent in each market at a level, so I don’t want to give out some onto this level for the overall markets. But I think it’s fair to say, we look at each market and feel like, we’ll develop kind of an approach based on the demand and supply in that market.
Emmanuel Korchman: Great. And then, Joel, just switching to New York for a second Any updates on the conversations on the city about the North Tower?
Joel Marcus: We’re still continuing those conversations and we’re very optimistic, but don’t have anything to announce at this moment.
Emmanuel Korchman: That’s it for me. Thank you.
Joel Marcus: Thank you.
Operator: Next question comes from Jamie Feldman with Bank of America Merrill Lynch. Please go ahead.
Jamie Feldman: Thank you. You guys put out an 8-K in early July talking about April 2018, Joel moving to an Executive Chairman position. Can you talk about – Joel, can you talk about what that means for the day-to-day for you, and what you think will be different in that role?
Joel Marcus: Yes, so…
Jamie Feldman: And then how we shall be thinking about backfilling your spot?
Joel Marcus: Yes. So I think, if you think about, I don’t know what your work week is like, but I’m a kind of a 24/7 guy. And if you take just hours focused on daily work plus travel, that’s probably very much an 24/7 effort. And I think it’s fair to say that, I would continue with more than full time at – on and after April 1, 2018 and heavily laser focused on growth, we’re putting together a five-year growth plan 2018 through 2022, and to be able to realize what we think will be a tremendous growth period implementing our very unique and special strategy is, what I’m going to be spending my time. So I think, if you think about me, I’d be moving from player to player coach.
Jamie Feldman: Okay. And then what – do you expect to join more Boards, or do more things outside the company? I know in recent years you’ve been a little bit more active on that front?
Joel Marcus: I think, I assess limits the outside Boards, you’re on a public sense and I’ve been on two biotech Boards for quite a long time. I don’t plan to increase that. And I’ve been involved in a number of Boards historically that i.e., ebb and flow, but I go with what is our moniker is people, passion and purpose. I did join this year the Board of Robin Hood and Mayor Bloomberg asked me to join the Board of the 9/11 Memorial and Museum. So those are two new ones, but I gave up two other nonprofit Boards I was on. So I’ve got a good balance and I’m fully engaged and don’t plan to be any less engaged, I can promise you that.
Jamie Feldman: Okay. And then when should we expect to hear about any other management changes?
Joel Marcus: Probably by year-end.
Jamie Feldman: Okay.
Joel Marcus: We’ve started just so you know, we started this process at the Board level early last summer actually kicking it off with a full day with Jim Collins, and we’ve been involved both at the Board level and at the company. So we’re – the process is seamless. It’s fully embraced, and I think it’s excellent. So I’m wholly confident that the company will continue to operate in a fabulous way.
Jamie Feldman: Okay. Thank you.
Joel Marcus: You’re welcome.
Jamie Feldman: And then just shifting gears to the impairment charge, Dean, can you just talk about, I mean, is this something that, if the stock comes back, you take a gain or just how do we think about the permanent of these impairments and then the more we may see just I think this is the first large one we’ve seen so far?
Dean Shigenaga: Yes, we’ve actually had a pretty good history of really solid performance on the portfolio of equity security investments. So – but GAAP requires that you do recognize them from time to time. The impairment write-downs are permanent. But if we do find a liquidity event, Jamie, you could end up in a game downstream. These companies are still in business, which is the important message. This was a valuation adjustment, not a company that died and they’ve roused. So we think we’ll get our money out of these investments at the end of the day. But we have to adhere to the GAAP requirement to take a write-down.
Joel Marcus: Yes. And if the stocks go up then, obviously, there would be gain that we would recognize, because the basis is written down.
Jamie Feldman: Okay. All right. Thank you.
Joel Marcus: Yes.
Operator: Next question comes from Tom Catherwood with BTIG. Please go ahead.
Tom Catherwood: Thank you. Good afternoon. Switching over to external investments, this quarter you bought an operating asset on Page Mill Road in 3Q was that you closed then two assets in the Route 128 Corridor, all of those deals were done at – what looks like some pretty strong valuation. How do you get comfortable with the pricing on these? And then what do you see is the upside from these deals?
Joel Marcus: Yes, if I’m going to ask Tom to comment on the Suburban Massachusetts just kind of broadly how we think about that?
Thomas Andrews: Sure. This is a Tom Boston office, and we acquired earlier, I guess, the last month A two building asset of about 200,000 square feet, which presents an upside opportunity to couple of factors. One is, we think the existing leases in the operating portion of the asset, it’s about 70% leased at the moment. We think those leases are somewhat below market and expect that plan will roll over those leases we’ll have fast and material upside to market rents. And then, about 30% of the building is – of the asset is currently vacant office space. We have a plan for conversion of that office space into laboratory space. We’ve given market conditions – relatively tight market conditions right now. We expect that we’ll be able to convert that office space to lab space at a pretty good upside in rents to yields. This property happens to be immediately adjacent to one other 100% lease property that we have in this submarket, both is probably the best suburban sub-market in Greater Boston. It’s with most central, it’s with the most amenities in the area. So we’re very comfortable investing there. Boston Properties is by far the largest landlord of commercial space in Boston and we’re comfortable investing in this location with our number of other life science companies. So we definitely see upside.
Joel Marcus: Now I’m going to ask Steve to comment briefly on the Palo Alto acquisition.
Stephen Richardson: Tom, hi, it’s Steve. The Stanford Research Park has done exceptionally well over a number of years. We have both a growth of existing companies plus a pretty intense influx of large Fortune 50, Fortune 100 companies coming into the Research Park as their industries are being disrupted. They are absolutely seeing an imperative to be close to Stanford’s engineering talent and the entrepreneurial activity there. So as we look at this asset, we’ve got an investment grade quality tenant on a long-term basis. And for the future, we see upside there as well. So it was a nice blend of a nice accretive acquisition immediately and then long-term upside as well in probably one of the best submarkets in the country.
Peter Moglia: Hey, it’s Peter Moglia. I think I’ll add onto Steve’s comments by mentioning, I mean, it’s a 5.5 cap rate on the Palo Alto deal. And if you look at what’s been – it’s not been a lot trading around the country. I think activity has certainly slowed down. But we do see a lot of things trading in Seattle and the cap rates there for buildings with much lesser lease or credit behind some of these deals in the four category. So to pick something up at a cap rate of 5.5 in the Stanford cluster, we thought even though it might historically be a low cap rate relatively, it’s a pretty good transaction for us.
Tom Catherwood: That’s very fair, I appreciate that. And Peter, kind of sticking with your comment on Seattle, when we look at your developments, it looks like 1818 Fairview in Seattle has picked up that extra 9% of potential square footage. You moved 1150 East Lake into the intermediate development projects. This indicate that you’re even more positive on Seattle and kind of trying to put more money to work there?
Joel Marcus: So let me maybe just give you a perspective. Yes, we think that the Seattle market, I mean, there isn’t a day goes by that you don’t hear the word Amazon right, and not that we’re focused on Amazon per se. But Amazon’s growth has really impacted many other companies in that market looking for space. And back in 2002 and 2003, when we moved up pretty aggressively into East Lake Union and South Lake Union, in those days, we didn’t have so much capital. But we had made a decision that that was going to be our focal point in the Seattle market. It turned out to be a huge correct call. It’s pretty clear that given our occupancy in that market, the pretty big historic demand in that market that we’re trying to position some of our land bank to move into income-producing over the next few years.
Tom Catherwood: Got it. Thank you.
Joel Marcus: Yes.
Operator: Next question comes from Jed Reagan with Green Street Advisors. Please go ahead.
Jed Reagan: Good afternoon, guys. Just a quick follow-up on the Page Mill acquisition, you mentioned some longer-term upside. Is that – you see a lab plays there eventually and then on the 1 million square foot site in Research Park, is that envisioned that as lab or office?
Stephen Richardson: Jed, hey, it’s Steve Richardson. On the Page Mill asset, potentially we could put light lab in that facility, it’s a brand new Class A facility right at a very prominent corner along Page Mill there. But their rent is somewhat below market. So just from a straight mark-to-market basis over time, we expect we’d have upside in a renewable releasing, but that’s certainly down the road. And then shifting on the million square foot campus, we absolutely will be designing robust laboratory shelves, and we’ve been initially chatting with both life science and technology companies. So, stay tuned, we’ll see how we do with either sector.
Jed Reagan: Okay, that’s helpful. And I guess, sticking on acquisitions, I mean, with some of the deals you’ve struck this year, I mean, it is generally off-market, or are they marketed deals? And for the marketed deals, I mean, how deep are these bidding pools and what is your competition look like?
Joel Marcus: I would say, every situation is so different, every market, every deal. And at the beginning of the year, you don’t know generally what may come to market. We’re not typically a – in the market to acquire assets. We’re a primarily a developer of Class A assets in our urban cluster campuses. But when interesting opportunities come up, we obviously look at them going back to One Kendall, which was pretty heavily marketed. The pool of buyers, I think, we’ve showed, Peter, has a slide on Investor Day that has some 50-plus buyers who’ve invested in somewhere in or around the U.S. in life science assets. So it depends by deal.
Peter Moglia: Yes. Hey, Jed, it’s Peter Moglia. I won’t go into the specifics, but out of the five acquisitions, three of them were competitive bids and then two of them were done through relationships that Alexandria had with the principals and we just went directly to them. And in one case, we actually just convinced someone to sell it, and they weren’t really thinking about disposing it at the time, but we made a compelling offer and we’re able to get the asset.
Jed Reagan: Great. I appreciate. May just last one for me, just in terms of your disposition plans, can you talk about how much you expect to sell the rest of the year? And maybe any color on which markets you’re targeting?
Joel Marcus: No, not a whole lot of color other than these are non-core and we’re working through handful of opportunities. We’ll provide more color as we can over the next quarter.
Jed Reagan: And sort of magnitude-wise, dollar value?
Joel Marcus: Call it, definitely sub $100 million.
Jed Reagan: Okay, great. Thank you.
Joel Marcus: Yes, thank you.
Operator: Next call – next question comes from Rich Anderson with Mizuho Securities. Please go ahead.
Richard Anderson: Thanks. Good morning out there. No, good afternoon. So I probably ask a form of this question every quarter. But if there’s any “flaw” to the story, it’s the geographical concentration risk, 61% in two markets. Do you ever give increasing thought to pursuing more of a balance there one way or the other, whether it’s, maybe breaking up Cambridge and San Francisco a bit more, or entertaining a bigger exposure to some of the smaller markets, or is that just too good right now and you’re not inclined to sort of make a move in those directions one way or the other?
Joel Marcus: So I think how we look at it is, we’re putting together a five-year growth plan from 2018 through 2022. And I think, as you look out or as we look out in 2022, I don’t want to reveal what the numbers are. But it’s pretty clear that the Greater Boston market will not be as dominant in our asset base as it is today. I think, we see good growth from places like San Diego, Seattle, San Francisco, particularly New York. And so,we’re not too worried about that. And it will self-correct, I think, over the coming five years, and we’ve got a fabulous plan to implement to make that happen. So we’re not obsessed by that.
Richard Anderson: Okay, no need to be, obviously, it’s a good problem these days. The other question is, to what degree do you get reverse inquiries from outsiders looking to buy assets from you? And has that been a part of any of your dispositions to to-date, whereas you weren’t necessarily doing it, marketing it, but someone came to you initially?
Joel Marcus: Well, we do get, I would say, what we get more than anything, and I’d say, it’s quite often is entities with a lot of capital wanting to team up with us.
Richard Anderson: Okay.
Joel Marcus: In various locations. I think, that’s more the inquiry as opposed to, do you want to sell some assets? I’d say, that doesn’t happen – that often. But given our strategy and our game plan and our history, but teaming up with us, I can tell you there are many, many entities that would cherish the thought of teaming up with Alexandria and our brand.
Richard Anderson: Okay. And then last question, recent inclusion into the S&P 500, so congratulations for that. And I’m curious if you had any differentiated conversations with investors, new people looking at the space, one thing that’s – you don’t have much of a comp in the U.S. REIT market. So I’m wondering if you’re – finding yourself educating a wider swath of of investors these days?
Joel Marcus: Yes, I’d say, the two types of investors we’ve seen, I think, Dean and I have seen and others have seen over the past three months, six months, 12 months would be one non-dedicated investors certainly looking at this space and particularly our company, which offers a combination of both growth and income, which is attractive, given the market is a bit frenetic and certainly has been led by the technology sector. And I think, the other is, foreign capital looking to buy not so much even direct assets, but stock in the company, because they see it in a very strong growth sector. So I think, those are the two groups that we’ve seen over the past probably six to 12 months.
Richard Anderson: How about inquiries from biotech investors that are looking for a proxy to their space?
Joel Marcus: Yes, we’ve tried that approach for many, many years. We present at JPMorgan, we present at Cowen, we present at – we did at UBS recently. But it seems to me, those are probably a handful of people as opposed to a wave. So I don’t think those have turned the needle.
Richard Anderson: Okay, great. Thanks very much.
Joel Marcus: You’re welcome. Thanks, Rich.
Operator: [Operator Instructions] Next question is a follow-up from Jamie Feldman with Bank of America Merrill Lynch. Please go ahead.
Jamie Feldman: Thank you. I just wanted to focus on San Diego. I think, you had mentioned it was your busiest leasing market in the quarter. Are you seeing a turn there, or a real pick up there? I now that you and others are really focusing your attention in that market, it sounds like [Multiple Speakers].
Joel Marcus: Yes, good afternoon, Jamie. I wouldn’t say, there’s a big shift in what’s happened. We just had a couple big leases that took a while to consummate, one being Takeda, and then Lab Corp, the other one took a little while. I think, we’ve been pretty happy, though, with a consistent steady demand when I look at our properties and availabilities. We basically have activity on every single one of them. So I think that’s sort of the combination of both sort of our position in the marketplace and I think in overall pretty healthy circumstances in San Diego.
Jamie Feldman: Okay. And then finally for me, as you look ahead to 2018 and your lease expiration schedule, are there any large move-outs you know about, or any tenants that maybe moving out that we should be aware off?
Joel Marcus: Yes, so the only two that we have and both are actually pretty nice opportunities of any moment would be 681 Gateway, which is Roche/Genentech, that’s all office building. But when we built it, it’s a lab-ready shell, as Steve knows well, and the team knows well. We’ve got some ability there to add FAR under that site. So we think that would be a prime conversion to much higher yielding lab building, that’s about 120, what is that?
Dean Shigenaga: 126,000
Joel Marcus: 126,000-plus an additional 15,000 to 30,000, and the other one is in Dan’s market 9880 Campus Point, which is a – an asset that we leased to Amylin back in the day and that lease rolls during 2018, and we’re going to be doing a full – that was kind of a specialty building that they put together. So that’s going to be a full lab redevelopment and lab rents today in that area.
Dean Shigenaga: $48.
Joel Marcus: Yes, $48. So we think we can make a pretty nice yield on those. Those are really the only two that are of moment, the rest are pretty ordinary course. And as you know, our run rate on leasing has been super strong. As Dean mentioned, we’ve extended the leases now 2018, 2019 and 2020. So we’re – we feel very good about handling the lease rolls for next year 1.3 million, 1.4 million square feet. So – and the average rents are about below $38. So there’s, I think, very good upside in those roles.
Dean Shigenaga: Yes, and Jamie, one additional comment. The largest lease after those two that Joel mentioned drops down to 60,000 square feet or less from that point.
Jamie Feldman: Okay. How big did you say the Amylin leases?
Dean Shigenaga: It’s about 81,000.
Jamie Feldman: Okay.
Joel Marcus: Yes, so nothing of any big significance.
Jamie Feldman: And will both of those projects go into your redevelopment pipeline so as long as you hit occupancy?
Joel Marcus: 681 will be a conversion, because it is office currently, and 9880 would be a renovation project, Jamie. So no, it would not go into the same property, I’m sorry, would stay in same property.
Jamie Feldman: Both of them would stay?
Joel Marcus: No, 681 would be a redevelopment would come out and convert from office to lab. And 9880 would be a renovation and stay in same property results.
Jamie Feldman: Got it. Okay, all right. Thank you.
Joel Marcus: Yes, but the demand for both those – in both those submarkets super strong these days. So we’re pretty – we’re actually happy to get 681 back and move from office to lab in the South San Francisco market and in San Diego, Dan has got more than – more demand than he can deal with at the moment in the UTC market.
Operator: Next question is a follow-up from Manny Korchman with Citi. Please go ahead.
Michael Bilerman: Hey, sorry about that. It’s Michael Bilerman here with Manny. Joel, I’m just curious that going down the valley, how much of that is sort of views on San Francisco Prop M entitlements, pricing in San Francisco and the desire to move further afield?
Joel Marcus: Yes, I don’t think we view it that way. I think we view it as we have – actually our view has always been that we wanted to get out of Alameda in the early days when we had space kind of our legacy pre-IPO. We have always focused kind of from the city down to Palo Alto. We’ve always felt that that was kind of the sweet spot of life science in the Bay Area. And what’s emerged, remember, when we started, there was no life science in Mission Bay. In fact, when we went out in 2005 to meet with a lot of people, they actually didn’t believe anything would happen there. SoMa was never really in play in those days. It was Genentech South San Francisco, and then obviously, Palo Alto through spinouts outo f Stanford. So we’ve always viewed the valley from the city down to the Stanford area as really core of what we do. I think, today, when you can assemble a big campus with large leasing opportunities there, you have to pay attention to those. So I consider those all pretty integral parts of that submarket or set of submarkets.
Michael Bilerman: And where does Prop M entitlement stand in relation to $88, I mean, and how you think that’s going to play out?
Joel Marcus: Yes.
Stephen Richardson: Yes, Michael, it’s Steve. Yes, the expectation now is the city did receive a lot of comments on the initial draft, i.e., our plan for Central SoMa. They expect to bring that to the Board during the spring of 2018 for certification. So at that point, the projects that are in the queue would start receiving allocation. Our expectation is that politically it’s going to make a lot more sense for a number of projects to receive a phased allocation. Most of these projects can be phased. So Phase one for a number of projects brings community benefits on the front-end to the city, which is critically important. So we don’t think that any one project will receive all of its Prop M allocation. But instead a number of projects starting later in 2018 will start receiving their Phase one Prop M allocations.
Michael Bilerman: Okay. And then just last one, just Jeol, as you transition next year to Executive Chairman, I guess, is that set in stone or could that be sort of pushed further in? And then you talked a lot about how you will continue to be actively involved in Alexandria and being in that player coach. I guess, how will your time shift in the public market activities role that you serve?
Joel Marcus: Well, we’ll see how it plays out, I think, unless my Corbett asked me to take over research at Citi, I’ll probably stay here and beat 777. But I don’t think it will shift that much. Although, I think I will have less facing with investors and analysts. But now I do some of that, but Dean, and Steve, and Tom, and Peter, and Dan, and a number of other people do certainly a big bulk of that anyway. But I think where my time will be super invested in my 24/7 style will be on this growth plan and making it work and executing it. So, – but I don’t think, you’ll see any huge demand – dramatic shifts.
Michael Bilerman: And this growth finally would be put out to the street at Investor Day in December?
Joel Marcus: I wouldn’t say for all five years. You’ll see the first-year and a little peek of what’s to come after that.
Michael Bilerman: Okay. All right. Thanks so much.
Joel Marcus: You’re welcome. I don’t think, we’re ready to give 2022 guidance yet.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Joel Marcus for any closing remarks.
Joel Marcus: Thank you, everybody, for your time today. We appreciate it and we’ll look forward to talking to you on our third quarter call probably the end of October. Take care.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.